Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American States Water Company Conference Call discussing the company's Second Quarter 2023 Results. The call is being recorded. If you would like to listen to the replay of this call, it will begin this afternoon at 5:00 p.m. Eastern Time and run through Tuesday, August 15, 2023, on the company's Web site, www.aswater.com. The slides that the company will be referring to are also available on the Web site [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions [Operator Instructions]. Presenting today from American States Water Company are Bob Sprowls, President and Chief Executive Officer; and Eva Tang, Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. Please review description of the company's risks and uncertainties in our most recent Form 10-K and Form 10-Q on file with the Securities and Exchange Commission. In addition, this conference call will include a discussion of certain measures that are not prepared in accordance with Generally Accepted Accounting Principles or GAAP in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information but are not presented in our financial statements that are prepared in accordance with GAAP. For more details, please refer to the press release. At this time, I will turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company.
Bob Sprowls: Thank you, Alan. Welcome everyone, and thank you for joining us today. I'll begin with some brief comments on the quarter. Eva will then discuss some financial details. And then I'll wrap it up with updates on regulatory activity, ASUS, dividends, and then we'll take your questions. It was a productive and positive quarter for the company. I'm very pleased that in late June, the California Public Utilities Commission or CPUC adopted the decisions for Golden State Water Company's water general rate case or GRC to set rates for 2022 through 2024 and the cost of capital proceeding. Both decisions can be viewed as constructive and they enable us to continue investing in the utility infrastructure to provide safe and reliable water services for the communities we serve. The cost of capital decision adopted the authorized return on equity, capital structure and embedded cost of debt prospectively and allows for continuation of the water cost of capital mechanism for adjusting the return on equity. As a result, Golden State Water’s cost of capital reflects a 9.36% return on equity with a 57% equity ratio and a debt cost of 5.1% effective July 31st. Advice letters have been filed with and approved by the CPUC to implement 2023 rates based on the newly adopted general rate case and cost of capital decisions. We started billing customers the new 2023 rates on July 31st and will seek recovery of the retroactive rates from January 1, 2022 to July 30, 2023 within 90 days of implementing the new rates. Let's briefly discuss our quarterly earnings. Recorded diluted earnings per share for the quarter increased $0.50 from last year. 2023 second quarter results include a favorable variance of $0.21 per share that is made up of $0.18 per share from the reversal of revenues subject to refund that was previously recorded in 2022 through the first quarter of 2023, of which $0.03 per share had been recorded during the second quarter of last year. This reversal was as a result of receiving the final decision in the cost of capital proceeding in June that sets the cost of capital prospectively. Second quarter results also reflect a net favorable variance of $0.10 per share from gains on investments held to fund a retirement plan compared to losses for the second quarter of last year. Excluding these two favorable impacts, consolidated earnings as adjusted for the second quarter of 2023 reflect an increase of $0.19 per share as compared to adjusted earnings for the second quarter of 2022. The higher adjusted earnings were largely due to the new 2023 water rates, a proven Golden State Water’s final GRC decision. In addition, higher construction activity at our contracted services business, American States Utility Services or ASUS, also contributed to the higher earnings for the second quarter of 2023. And ASUS is on track to meet its targeted earnings contribution for the year. I'm also pleased to report that last week our Board approved another sizable dividend increase. The annualized dividend rate after this increase is $1.72 per share, which represents an 8.2% increase from the current annualized dividend rate of $1.59 per share. This significant dividend increase reflects our Board's confidence in the company's ability to achieve long term sustainable earnings growth. The faction also marks the 349th consecutive dividend payment by the company. American States Water has paid dividends every year since 1931, increasing the dividends received by shareholders each calendar year now for 69 consecutive years. Eva will discuss the quarterly earnings and liquidity, and I'll turn the call over to her.
Eva Tang: Thank you, Bob. Hello, everyone. Let me start with our second quarter results. Consolidate earnings as recorded or $1.04 per share for the quarter as compared to $0.54 per share for the second quarter of 2022, an increase of $0.50 per share. Included in the result of the second quarter, as Bob mentioned, is the reversal of revenue subject to refund of $0.18 per share related to a lower cost of debt estimate that has been recorded during 2022 through the first quarter of 2023, of which $0.03 per share has been recorded in the second quarter of last year. The $0.50 per share increase also included a favorable variance of $0.10 per share from investments held to fund the retirement plan. We record against on these investments of $1.5 million for the quarter as compared to losses of $3.5 million in 2022. Excluding these two items, adjusted consolidated earnings for the quarter were $0.83 per share as compared to adjusted earnings of $0.64 per share for the second quarter of last year, an increase of $0.19 per share. For our water utility subsidiaries, Golden State Water reported the earnings were $0.91 per share as compared to $0.40 per share for the second quarter of 2022, a $0.51 per share increase, both items just discussed affected earnings at the water segment. So factoring in the same impact from the two items, adjusted earnings for the second quarter for the water segment were $0.70 per share, which was an increase of $0.20 per share as compared to adjusted earnings of $0.50 per share for the same period last year. Since 2023 is the second year of the rate case cycle, a second year rate increase effective January 1, 2023 has been accounted for in this quarter as well. The $0.20 per share increase in 2023 adjusted earnings largely represent the difference from 2021 adopted rates and the 2023 second year increases, partially offset by increases in operating and interest expenses. Our electric segment’s earning were $0.03 per share for the second quarter as compared to $0.04 per share for the same period last year. The decrease primarily relates to not having new rates in effect yet for 2023 as we await the pending electric GRC that will set new rates for 2023 through 2026, while also experiencing continued increase in overall operating expenses and interest costs. When the decision is issued in the electric GRC new rates are expected to be retroactive to January this year and cumulative adjustment will be made and recorded at that time. Earnings from our contracted service segments increased $0.02 per share for the quarter due to higher construction activity. Slide 8 shows that consolidated revenue for the second quarter increased by $34.8 million as compared to the same periods in 2022. Revenues for the water segment increased by $26 million, which included the reversal of revenue subject to refund of $9.3 million as a result of the cost of capital being prospective. While lower revenues were recorded in the second quarter of 2022 of $1.7 million as an estimate of revenue subject to refund at the time. The additional increases of revenue that's compared to the same period in 2022 largely represent the difference from the 2021 adopted rates and the 2023 second year increases. The increase in electric revenue was primarily attributable to advice letter filings and an expense allocation true up as a result of the water TRC decision. An increase in general office expenses allocated to the electric segment also includes a corresponding and offset increase in adopted electric revenues resulting no impact to earnings. In addition, there was an increase in revenue of $8.2 million from our contracted services due to higher construction activity. Turning to Slide 9, looking at total operating expenses other than supply costs. Consolidate expenses increased $7.2 million as compared to last year's second quarter. The increase was largely related to an increase in construction costs in our contracted services segment, resulting from higher construction activity due to timing differences when construction work was performed this year when compared to 2022. There were also higher administrative and general expenses across all business segments during the second quarter. Interest expense, net of interest income, increased by $3 million due to higher average interest rate during the quarter and increases in overall borrowing levels. Other income, net of other expenses, increased by $4 million due primarily to gain on investments held for retirement benefit plans, partially offset by increase in non-service cost components for Golden State Water’s Benefit plan, resulting from changes in actual aerial assumptions on [Indiscernible] [act]. Slide 10 shows the adjusted EPS bridge comparing the second quarters of 2023 and 2022. This slide reflects our year-to-date earnings per share by segment as reported and adjusted. Fully diluted earnings as reported for the six months ended June 30, 2023 were $1.97 as compared to $0.92 for the same period in 2022, an increase of $1.05 per share included in year-to-date 2023 results was $0.38 per share related to the impact of retroactive rates from the decision in the water GRC for the full year of '22, of which $0.19 per share related to the first half of 2022. In addition, as a result of the final cost of capital decision, the 2023 year-to-date results include $0.13 per share related to the reversal of the estimated impact of a lower cost of debt recorded in 2022, of which $0.06 was recorded during the six months ended June 30, 2022. The [dollar] [$0.05] per share increase also include a favorable variance of $0.16 per share from investment held to fund a retirement plan. Excluding the three items mentioned above, adjusted consolidated earning for six months ended June 30, 2023 were $1.40 per share as compared to adjusted earnings of $1.08 per share for the same period last year, an increase of $0.32 per share. Turning to liquidity. Net cash provided by operating activities was $17.8 million through June of this year as compared to $56.9 million for year-to-date 2022. During the first half of last year, our regulated utility received $9.8 million in COVID-19 relief funds from the State of California to provide assistance to customers for delinquent water and electric customer bills incurred during the pandemic. There have been no relief funds received thus far in 2023. The decrease in operating cash flow was also due to a 17% decrease in build water consumption and the delay in receiving the water GRC final decision. Since the final decision has been received, Golden State Water filed for implementation of new 2023 rates increases that took effect on July 31, 2023, which is last Monday, and will file surcharges to recover retroactive amounts accumulated through the effective day of implementing the new rates in the near future. Our investing activities will remain on track to spend $140 million to $160 million this year in company funded capital expenditure at our regulated utilities. During this past quarter, we also finalized new five year credit agreements for both American State Water and Golden State Water. The new credit facilities will bring borrowing capacities of $100 million for American State Water and $200 million for Golden State Water for a combined borrowing capacity of $350 million. Each credit facility has the ability to spend the borrowing capacity for an additional $75 million subject to the lenders approval. Our electric utility also amended its credit facility to increase its borrowing capacity by additional $15 million. American State Water is likely to start issuing additional equity in the next 12 to 18 months to raise capital over time to fund its current businesses. As we mentioned before, we will consider doing an at the market offering that enable AWR to control the timing and the size of the sales of its common shares over time. With that, I'll turn the call to Bob.
Bob Sprowls: Thank you, Eva. I will discuss a few key regulatory matters. Earlier I discussed the adoption of the final decision we received in the water general rate case. Final decision issued on June 29, 2023 approves a settlement agreement between Golden State Water and the Public Advocate's Office at the CPUC and is consistent in all material respects with the proposed decision issued in April. The decision sets new water rates for the years 2022 through 2024. To provide you with a recap of the key points in the decision. Among other things, the decision authorized Golden State Water to invest $404.8 million in capital infrastructure over the three year cycle, plus $9.4 million of capital projects that have been completed and filed as advice letter projects, the revenue for which was in effect February 15, 2022. It increases Golden State Water’s adopted operating revenues for 2022 by $30.3 million, which includes an increase for higher adopted supply costs of $9.6 million as compared to the 2021 adopted revenues, excluding the advice letter project revenues. It adopts new operating expense levels for 2022, including higher depreciation expense, resulting from overall higher composite depreciation rates based on a new depreciation study adopted in the final decision. And it allows for additional increases in adopted revenues for 2023 and 2024, subject to an earnings test and changes to the forecasted inflationary index values. We are now in the process of preparing our next water general rate case for the years 2025 through 2027 to be filed in the third quarter of this year. Also during the quarter, the CPUC adopted the final decision on the cost of capital proceedings to set the new cost of capital for 2022 through 2024. The decision adopts our requested capital structure of 57% equity and 43% debt, adopts the cost of debt of 5.1% as filed in the application, adopts a return on equity of 8.85% and allows for the continuation of the water cost of capital mechanism. In addition, based on the company's assessment of the final decision, all adjustments to rates are to be prospective and not retroactive. As discussed on prior calls in all of 2022 and through the first quarter of 2023, we recorded a reduction to water revenues to reflect the estimated revenue impact of a lower cost of debt of 5.1%, as requested in our cost of capital application as compared to 6.6% included in 2021 rates that were billed to water customers before the cost of capital decision was issued. As a result of receiving the final cost of capital decision, which again sets rates prospectively not retroactively, the water segment recorded an increased to water revenues $9.3 million or $0.18 per share to reverse its regulatory liability for revenues subject to refund that were recorded in 2022 and through the first quarter of 2023 as a change in estimate and circumstances. As previously mentioned, the decision allows for the continuation of the water cost and capital mechanism. For the period from October 1, 2021 through September 30, 2022, the Moody's AA utility bond rate increased by 102.8 basis points from the benchmark, which increases the adopted return on equity by one half the change or 51 basis points from 8.85% as adopted in the decision. As a result, effective July 31st of this year, Golden State Water has an authorized return on equity of 9.36%, a capital structure of 57% equity and 43% debt and a return on rate base of 7.53%. Moving on to Slide 15, our electric utility subsidiary filed its general rate case on August 30th of last year for new rates for the period 2023 through 2026. In addition to new rates, there are number of items that are requested such as additional capital expenditures as part of the four year rate cycle and a new capital structure. We have also requested the recovery of more than $22 million in capital already spent related to the wildfire mitigation plans. CPUC has approved a decision for a general rate case memorandum account that will make new rates once approved in a CPUC final decision, effective January 1, 2023. Turning our attention to Slide 16, we present the actual growth in Golden State Water's average rate base from 2018 through 2021 and the forecasted growth from 2022 through 2024 as authorized by the CPUC. Based on the final decision in the general rate case, Golden State Water's average rate base is forecasted to grow from $752.2 million in 2018 to an authorized level of [$1,366.9 million] in 2024, that's a compound annual growth rate of 10.5% for the six year period. Let's continue to ASUS. I'm pleased to announce that ASUS contributed earnings of $0.12 per share for the second quarter as compared to $0.10 per share for the same period last year, an increase of $0.02 per share. The increase was largely due to an increase in construction activity in the second quarter of 2023 as compared to the same period in 2022 due to timing differences of when construction work was performed and an increase in management fee revenue resulting from the resolution of various economic price adjustments, partially offset by higher overall operating expenses and interest costs as compared to the same period of 2022. As mentioned earlier, ASUS is on target to contribute $0.45 to $0.49 per share for the year. We also remain confident that we can effectively compete for new military based contract awards based on our proven track record of managing water and wastewater related services for military basis since 2004. I'd like to turn our attention to dividends, which I already touched on earlier in the call. Last week we announced an 8.2% increase in the third quarter dividend. This increase is consistent with our policy to achieve a compound annual growth rate in the dividend of more than 7% over the long term. Our strong dividend history is something that the company is proud of and is a continuing asset to our shareholders. This strong track record has allowed us to achieve a 9.4% compound annual growth rate in our quarterly dividend payments to shareholders over the last five years from 2018 through 2023. I'd like to conclude our prepared remarks by thanking you for your interest in American States Water. And I'll now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Angie Storozynski from Seaport.
Angie Storozynski: So there's just so many moving pieces for the second half of this year as far as your earnings. Just help me out maybe. So first for the cost of capital, the changes in the cost of debt versus increased cost of equity. The return on rate basis is still falling slightly. Is that fair?
Bob Sprowls: Yes. The current rate of return going forward is 7.53%.
Eva Tang: Right, from the previous 7.91%…
Angie Storozynski: So that has some marginal detrimental impact on earnings for the remainder of the year. Is that fair?
Bob Sprowls: That's correct.
Eva Tang: Yes.
Bob Sprowls: Angie, I'm sure you're on top of all of these, but in 2022 we were booking to the 5.1.
Angie Storozynski: Yes, exactly. Now the incremental step up in revenues for 2023. So the GRC was $0.40 pickup and then how much on an annualized basis net revenue increase would be this ‘23 step up?
Eva Tang: Are you comparing '23 to 2022?
Angie Storozynski: Yes. Well, no, I'm just saying what was the [Multiple Speakers]. What was the incremental revenue increase basically associated with this inflationary adjustment, right, that you have embedded in the GRC, what is the step change in addition to that $0.40 increase from the GRC?
Eva Tang: First of all, for 2022 is $0.38 increase that we booked. Then for 2023, I think we -- year-to-date, I believe we have rate increase from -- it's about $0.16 increase for six months. So that's the 2023 increase from 2022, so last year for six months.
Angie Storozynski: And then I'm just -- thinking about anything else, and then the weakness and on the electric side will be trued up only with the GRC result, which we don't expect still until 2024, right?
Bob Sprowls: I mean, it’s possible we'll get it in 2023, but unlikely, I would say.
Angie Storozynski: And then as you are getting ready to file the next GRC, and I promise it's my last question. Will you embed the full [RAM] in this upcoming filing?
Bob Sprowls: Yes, we plan to request it.
Eva Tang: Yes.
Operator: Our next question comes from Jonathan Reeder of Wells Fargo.
Jonathan Reeder: Good quarter, I think things were generally in line with where we were expecting them. But one thing you mentioned is that the new GRCs has not been filed yet. I think you normally file your GRCs in July. So is the delay in this filing just related to the delayed outcome in the last GRC, and then do you think this means another untimely decision by the CPUC when we look out to 2025?
Bob Sprowls: The delay is related to the delay in the, we call it, the 2020 general rate case. And do we think it'll affect the processing of this case, we do not.
Jonathan Reeder: No, that'd be great if somehow they can get back on track to get more timely decisions. In terms of ASUS, obviously, you affirmed where you thought full year EPS would come in. Any update there around like the pursuit of new bases and what might be up for grabs or near term bases that might get awarded?
Bob Sprowls: o there's one privatization out there that's been out there a while called Pax River privatization, it's a navy privatization. And I think all the competitors are waiting to hear who won it. Unclear when that announcement will be made. So we're very interested in that. We do think we have a great reputation with the military. We have -- there's something called a contractor performance assessment rating where they rate you at each of the bases and our ratings are very strong. I'm sure our competitor would say the same thing about themselves. So we're in their bidding and we hope to get push one across the finish line here. I don't know when that particular privatization will be announced. I think it perhaps is a little bit behind schedule at this point.
Jonathan Reeder: But that's the only kind of near-term-ish one?
Bob Sprowls: Right, that's the only, I would say, typical privatization that's out on the street, I guess for bidding.
Jonathan Reeder: That's the only actual open RFP in general on the military side right now?
Bob Sprowls: Yes, I don't -- Jonathan, previously I've talked a little bit about, there's other ways of perhaps taking over assets, but the standard process is to work through the 50 year privatization. So we're interested, we are working on additional projects, but they're not the standard privatization.
Jonathan Reeder: Well, congrats on a good quarter and finally getting your two big California regulatory items put to bed. Would you say, in general, I mean cost of capital outcome with the adjustments in mind to the allowed ROEs? I mean, was it where you were expecting it to shake out, maybe a little better, particularly keeping in mind that it looks like 2024, we'll get another upward adjustment in the ROE?
Bob Sprowls: Yes, I mean, I got a lot of scar tissue from prior cost of capital, to be honest. So it seems like the commission is -- they've been pretty reasonable here relative to where they were in 2018. So we feel good about the outcome, particularly given that adjustment mechanism triggered and that it perhaps will trigger again. So yes, I think we feel okay. I mean, I can give you reasons why it should have been higher but…
Eva Tang: And we still keep our 57% equity layer, and I think that's very good outcome, Jonathan.
Jonathan Reeder: Yes, it's kind of interesting. I mean, you obviously kept your layer, but then they also increased the layers for of your peers and didn't take one of your other peers down, which I guess they could have done. So that's certainly constructive given I know at least in the past consumer advocate position has been that those equity layers are too high and should come down.
Bob Sprowls: Right. I mean, I think -- I mean, I can't speak for the industry. But you've talked to the other folks, I don't know what they said, but they probably are generally okay with where things landed. Is that that what they said?
Jonathan Reeder: Yes, everyone's okay with it. And the fact that it's not retroactive certainly helps.
Bob Sprowls: Right, I agree with that.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bob Sprowls for any closing remarks.
Bob Sprowls: Yes. I just wanted to wrap up today by just thanking everyone for their participation today, and letting know that we look forward to speaking with everyone next quarter. Thank you all, and have a good rest of your summer.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.